Operator: Good morning. Thank you for attending today's Highwoods Properties Q1 2025 Earnings Call. My name is [Jaylen] and I'll be your moderator for today. All lines will be muted in the presentation portion of the call. [Operator Instructions]. I'd now like to turn the conference over to our host, Brendan Maiorana. Brendan, you may proceed.
Brendan Maiorana: Thank you, operator, and good morning, everyone. Joining me on the call this morning are Ted Klinck, our Chief Executive Officer, and Brian Leary, our Chief Operating Officer. For your convenience, today's prepared remarks have been posted on the web. If you have not received yesterday's earnings release or supplemental, they're both available on the investors section of our website at www.highwoods.com. On today's call, our review will include non-GAAP measures such as FFO, NOI, and EBITDAre. The release and supplemental include a reconciliation of these non-GAAP measures to the most directly comparable GAAP financial measures. Forward-looking statements made during today's call are subject to risks and uncertainties. These risks and uncertainties are discussed at length in our press releases as well as our SEC filings. As you know, actual events and results can differ materially from these forward-looking statements, and the company does not undertake a duty to update any forward-looking statements. With that, I'll turn the call over to Ted.
Ted Klinck: Thanks, Brendan, and good morning, everyone. We had a strong quarter executing on our key priorities and delivering solid financial results. Despite rising concern over the macroeconomic outlook and choppiness in the capital markets, we continue to set ourselves up for meaningful long-term growth, while at the same time improving our portfolio quality and delivering financial results that were stronger than our original expectations. First, our investment activity was robust, with the recycling of $145 million of non-core disposition proceeds into the $138 million acquisition of Advance Auto Parts Tower, a commute-worthy Class AA building in the vibrant North Hills BBD in Raleigh. This rotation of capital is a bullseye illustration of our investment objective of selling older, capital-intensive properties in non-BBD locations and rotating into high-quality buildings in locations where people want to live, work, and play. This acquisition has meaningful long-term growth potential, as existing rents are below market for North Hills, a BBD where we believe market rents will accelerate over the next several years. We now own nearly 650,000 square feet of Class AA office in North Hills with a diverse group of strong customers. Also, this leveraged neutral rotation of capital is immediately accretive to cash flow. Second, we placed in service 2827 Peachtree, a 79,135,000 square foot development in the Buckhead BBD of Atlanta, where we hold a 50% interest in the joint venture that developed and owns the property. 2827 Peachtree is 94% leased and 88% occupied. Third, we signed 97,000 square feet of first-gen leases in our development pipeline. Our 474 million pipeline is now 63% leased, up 5% from last quarter, even after placing in service the 94% leased 2827 Peachtree development. We continue to garner solid interest in these best-in-class projects, which, upon stabilization, are projected to drive 30 million of incremental NOI above our 2025 outlook. Fourth, we leased 700,000 square feet of second-gen office space, including over 250,000 square feet of new leases, plus 43,000 square feet of net expansion leases. Leasing economics were strong, with net effective rents more than 20% higher than our prior five-quarter average. Plus, April leasing volumes have accelerated with over 200,000 square feet of new second-gen lease volume in just the first four weeks of the second quarter, highlighted by a 145,000 square foot lease with a new Highwoods customer at Symphony Place in Nashville. This lease is scheduled to commence Q2, '26 and backfills nearly two-thirds of the space from a customer who vacated the building earlier this year. Securing this long-term lease, coupled with strong interest from others in the market, further validates the highwood-tizing efforts underway at Symphony Place. During our February call, I highlighted several growth drivers for the next few years. The first of these is lease-up efforts at four core buildings with current and elevated vacancy. Upon stabilization, these four buildings alone will drive 25 million of NOI growth above our 2025 outlook. With the just-announced 145,000 square foot lease at Symphony Place, we have already locked in over 40% of this future upside with leases that have been signed but haven't yet commenced and with strong prospects for additional upside. The second growth driver previously highlighted is 10 million of future NOI upside from two 2023 development deliveries that have not yet stabilized, Glenlake 3 in Raleigh and Granite Park 6 in Dallas. With the lease assigned this quarter, we have now locked in over 60% of this future upside. While we're mindful of the current uncertainties around the macroeconomic environment, we're optimistic as we approach the midpoint of this year. Given the level of activity we continue to see across our portfolio and our already-executed lease deals. Turning to our quarterly results, we delivered FFO of $0.83 per share and generated healthy cash flow. As expected, our occupancy dipped due to known customer move-outs that we have long communicated. We expect to drive occupancy growth over the next few years given our healthy backlog of signed but not yet commenced leases and much more manageable lease role. With our strong financial performance in Q1, positive outlook for the balance of the year, and accretive acquisition of advanced auto tower, we have raised the midpoint of our 2025 FFO outlook by $0.04 to a range of $3.31 to $3.47 per share. We continue to actively underwrite new investments. There are still many office owners that face near-term refinancing challenges or simply plan to reduce their allocations to office, which we expect will provide opportunities to deploy capital into additional community-worthy properties. We are also actively prepping additional non-core assets for sale. Since 2019, we have sold over $1.5 billion of non-core properties and recycled the proceeds into higher quality, higher growth, and less capital-intensive, commute-worthy office buildings. We expect to continue this strategy. Given the combination of high construction costs, elevated vacancy levels, and risk-adjusted yield requirements that we believe would make sense for our shareholders, we don't expect to announce any new development projects this year. While spec development deals continue to be difficult to pencil in this environment, for us or anyone else, their absence creates the opportunity for significant rent growth and high-quality second-gen product as availability dwindles. We are having conversations with a few build-to-suit prospects with both existing companies in our BBDs and new-to-market users. While these conversations are all in the very early stage, the increase in activity is a good indicator of the health of the office sector and illustrates the importance of the workplace experience. In conclusion, we're bullish about the future of Highwoods. We're operating in the strongest BBDs in the Sunbelt that have continually proven to be the places where talent and companies want to be. We're making significant progress locking in our future organic growth drivers by signing long-term leases with strong customers, both in our operating portfolio and in our development pipeline. Finally, backed by a strong balance sheet with limited near-term maturities and ample liquidity, we are well positioned to execute on our proven strategy of asset recycling and drive our long-term growth rate even higher, further strengthen our cash flows, and improve our portfolio quality. Brian?
Brian Leary: Thanks, Ted, and good morning, everyone. Our Sunbelt BBD strategy has proven resilient over the past several years, and we believe we're well positioned to continue this outperformance amid the economic uncertainty of government cutbacks, global tariffs, and the potential of a looming recession, just to name a few. We recognize that our markets and business are not sheltered from these headwinds on the whole, but on the margin, we can report that today they have not deterred our customers and prospects from executing leases and committing to office space. Because of this, our leasing pipeline is full, and we've made substantial progress, backfilling our long-communicated known move-outs and pre-leasing our development pipeline. We completed this volume of work at Strong Leasing Economics for the first quarter. Our team signed 88 deals for a total of 700,000 square feet with expansions, outpacing contractions, 4 to 1. Net effective rents grew to $20.56, with average annual rent escalations of 2.7% and GAAP rent growth of 12.8%. While our average term of 5.3 years was lower than recent quarters, it includes a number of early as-is renewals that kept lease concessions low and drove strong net effective rents. In addition, activity remains strong across our $474 million development pipeline. As Ted mentioned, we signed 97,000 square feet of first-generation leases, including 48,000 square feet at Glen Lake 3, our mixed-use development in Raleigh, which is now 78% leased, and 43,000 square feet at Granite Park 6, our joint venture development with Granite Properties in Dallas' Plano BBD, which is now 58% leased. Both of these developments are forecast to stabilize in the first quarter of 2026, and we are pleased with the continued prospect pipeline. During the quarter, we delivered $272 million of development with the completion of 23 springs in Dallas and Midtown East in Tampa. These projects were delivered on time and on budget at a combined 58% pre-lease. As a reminder, we forecast 23 springs to stabilize in early 2028 and Midtown East in mid-2026. We remain confident in our ability to lease up both of these projects at or before scheduled stabilization. The Sunbelt continues its positive momentum with its talent-attractive and open-for-business environment. The region dominates a list of distinctions such as ULI's Emerging Trends Markets to Watch and Site Selection Magazine's Best States for Business. With these tailwinds, our markets and BBDs are outperforming national trends, and our portfolios are outperforming locally. In Raleigh, the Milken Institute named the City of Oaks the number one best-performing large city in the United States, highlighting its robust job growth, wage increases, and thriving tech sector. Here, we own almost 6 million square feet and sign the most volume in the quarter, with 316,000 square feet of second-generation space. CBRE noted that for the first time since 2011, 14 years ago, the construction pipeline is empty. This dearth of new supply benefits our recently delivered Glen Lake III development and the balance of our best-in-class portfolio. Moving south to Tampa, where [JLR] highlighted the downtown submarket's vacancy rate at 9.8%, making it the lowest office vacancy among major U.S. CBDs. During the quarter, the region heralded Foot Locker's Fortune 500 relocation out of New York and major lease signings by Fisher Investments and by GEICO, who, with their lease announcement, committed to adding 1,000 jobs at its new campus. Our recently delivered 143,000 square foot Midtown East mixed-use JV development is 39% leased, welcomed its first customer move-in, and has prospects for the balance of the building. With this completion, there are no buildings under construction in the Tampa market. Across our operating portfolio, the Tampa team signed 18 second-generation leases in the quarter for a total of 95,000 square feet, of which almost half represented new leases. Rounding out our markets in Nashville, in just a few months after a long, communicated move-out, we have backfilled over two-thirds of this vacancy with a 145,000 square foot customer new to Highwood's portfolio at our Symphony Place tower downtown. The market response to our Highwood-tizing plans, which are now underway, has been exceptional and has generated healthy additional interest. This progress, coupled with the prospect pipeline at Westwood South and Park West in the Brentwood and Cool Springs BBDs, respectively, provides confidence in the long-term embedded NOI growth potential of the existing portfolio. We are not naïve to the reality that economic uncertainty is a headwind to decision making, but in the present, our current leasing activity and pipeline bears little evidence to the expected cause and effect. I would provide the caveat that all meaningful construction scopes and bids are now qualified by not yet escalating with regard to tariffs. If and when that chicken comes home to roost, the question is, will construction costs for office fit-ups be able to bear the brunt of any increases, or will potential escalations be mitigated with construction pipelines at all time lows? Time will tell. In the meantime, our leasing pipeline is healthy, and we are pleased by the progress of our development portfolio. We are confident that we will continue to drive organic growth by leaning in with our exceptional people, portfolio, and positioning. Brendan?
Brendan Maiorana: Thanks, Brian. In the first quarter, we delivered net income of $97.4 million, or $0.91 per share, an FFO of $91.7 million, or $0.83 per share. The quarter included a large property sale gain from our disposition in Tampa that was included in net income, but not included in FFO. During the quarter, we received a term fee for a net $1.8 million as part of an early giveback, which was factored into our original FFO outlook. This fee will be partially offset by downtime in 2025 before rent commences with a new Highwoods customer who fully backfilled this early giveback, plus took additional space. Otherwise, there were no unusual items in the quarter. We are pleased with our first-quarter financial results, which demonstrate the resiliency of our operations and cash flows. Even more consequential were the quarter's investment activity and leasing results, which positions us for future growth. Our balance sheet remains in excellent shape. We didn't issue any shares on the ATM and had $710 million of available liquidity at the end of the quarter. We only have approximately $125 million left to fund on our development pipeline and no debt maturities until May of 2026. As Ted mentioned, we have updated our 2025 FFO outlook to $3.31 to $3.47 per share, which equates to a $0.04 increase at the midpoint. There are always a few moving parts when we update our outlook, but at a high level, $0.03 is attributable to partial year impact from the advanced auto parts tower acquisition, and $0.01 is from operations. In our initial 2025 outlook in February, we provided detail around what our same property and occupancy outlook would be, excluding four operating properties where vacancy is elevated this year. Similar to our overall same property and occupancy outlooks, our review of this adjusted same property growth outlook hasn't changed since February, nor have our expectations for occupancy. We offered this additional color in February given the outsized impact of a few select assets to our overall NOI growth and occupancy metrics. However, our preference is to present results on the full portfolio rather than on an adjusted basis that excludes certain properties. Therefore, we remove these adjusted metrics in our updated outlook and don't plan to include them in future updates. We're off to a strong start so far in 2025, locking in some of our forecasted organic growth potential. Of the $25 million of NOI growth upside we have on the four core operating assets Ted discussed, we have signed but not yet commenced the leases for over 40% of this total. The biggest component of this future growth is a combined 250,000 square feet across two leases at Two Alliance Center and Symphony Place with both leases projected to start mid to late Q2 2026. Our Glen Lake 3 and Granite Park 6 developments are projected to generate over $10 million of additional upside compared to our 2025 outlook, with over 60% already secured via leases that are signed but haven't yet commenced. Most of this $6 million of annual upside will be in place by the middle of 2026. While we've provided a roadmap of the upside potential from these six specific properties, it's important to note we still expect additional growth in occupancy and NOI from the remainder of our operating portfolio over the next few years, plus meaningful NOI from the two development properties we delivered this quarter. Lastly, I'd like to touch on our asset recycling performance and future outlook. As Ted mentioned, since 2019, we've sold over $1.5 billion of mostly non-core buildings and land and acquired $1.8 billion of commute-worthy properties. On average, the dispositions carried a nominal exit cap rate roughly 50 basis points higher than the year-one acquisition cap rates. While this rotation of capital caused a modest headwind to short-term FFO, it has significantly strengthened our cash flows, both in the near and long term, and is a large component that drove over $150 million of cumulative free cash flow above our healthy dividend payout since the onset of the pandemic. As you know, the office business is CapEx intensive, which is why we're focused on driving our risk-adjusted cash flows higher over the long term. We expect our asset recycling efforts will continue to strengthen our cash flows and improve our portfolio quality, thereby making our NOI more resilient over the long term, all while maintaining a low-levered balance sheet. To wrap up, we're ahead of plan executing on our embedded growth drivers with potential to secure more of this upside over the next few quarters. Further, our asset recycling playbook has a demonstrated track record of success, and we're encouraged about future investment opportunities. We believe we have the market's portfolio, balance sheet, and team to realize the meaningful growth potential available to us over the next few years. Operator, we are now ready for questions.
Operator: [Operator Instructions] Our first question comes from Rob Stevenson with the company Janney. Rob, your line is now open.
Rob Stevenson: Thank you. Good morning, guys. Ted, would you do any significant level of incremental dispositions from here without a corresponding acquisition lined up, or are those separate discussions in terms of your thoughts?
Ted Klinck: Hey, Rob. Good morning. Sure. No, I think, as you saw in our guidance, we've left. We've closed the, obviously, $145 million sale. We've got another up to 150 of additional dispos. We've got a couple assets that are out in the market right now, dispos, nothing of size, but we are prepping a few others to bring to market. I think all of these are going to be second half, '25 closings. So, yes, we're going to, whether we find something or not, we're going to continue to recycle out of noncore assets. We want to create some dry powder.
Rob Stevenson: Okay. And then, given the macro uncertainty, are you guys sensing any reluctance from tenants to engage on the 2026 expirations early here, where they want to wait and see whether or not we're in a recession, et cetera, before they make commitments to maintain or how much space they would downsize or upsize?
Brendan Maiorana: Yes, Rob, I think that's a great question. We ask that internally all the time if we're leasing agents. And we have, to a person, we've not seen any of that. We haven't seen any impact. Obviously, we're seeing the tariffs and economic uncertainty. Maybe we have investor confidence, maybe impact investor confidence. But in our business, in our leasing, we haven't lost any deals. Our deal flow hasn't slowed down. Our tour activity hasn't slowed down. So we have not seen that. But we are, we ask ourselves that as well.
Rob Stevenson: Okay. And then, last one from me. Is the second quarter '26 occupancy on the Two Alliance Center and Symphony Place leases due to expiration of their existing leases, or is there a more extensive timeframe that's going to take you guys to do the improvements there?
Ted Klinck: No, we're in the process of doing the improvements now. So the customer, as you know, I think you said Alliance Center. So the former customer moved out last fall. And then the new customer, the back field of a big law firm, they'll take occupancy in the second quarter of next year. So they're in the process of starting their bill now.
Rob Stevenson: Okay. And, Brendan, how significant is the CapEx and the TIs for these leasing that you've done thus far in April? Is it meaningful in terms of the spend for 2025 here, or is it just as per usual? How heavy is that?
Brendan Maiorana: Yes, Rob, it's not unusual given the sense that it's a long-term lease, and we've done the one size of a lease in Nashville is a long-term lease for 145,000 square feet. So that TI is very much kind of in line with what you would probably expect in terms of market. And then the other new leasing that we disclosed, another over 50,000 square feet, is also kind of in line with what you would expect. But I would say I think our expectation is you will see leasing capital higher over the next, the balance of this year, and likely into 2026 as well, just given the occupancy bill that we expect and all of the leasing that we've done. So I think we expect leasing capital to be higher in terms of spend for the next several quarters.
Rob Stevenson: Okay, that's helpful. Thanks, guys. Appreciate the time this morning.
Operator: Our next question comes from Vikram Malhotra with the company Mizuho. Vikram, your line is now open.
Vikram Malhotra: Thanks so much for doing the question. Brendan, maybe I can just start. You earlier referenced sort of cropping occupancy and more so FFO growth kind of in the, I think it was either first quarter or first half. Can you just give us a sense of how you think how the cadence will go based on the puts and takes of the outline in the new guide?
Brendan Maiorana: Yes, Vikram, good morning and good question. Yes, what we've talked about, and I would say, things aren't too much different in terms of the updated outlook relative to what we provided initially in February, is we thought first half would be low both in terms of occupancy and then generally FFO sort of tracks occupancy without some unusual items on either the financing side or investment side. And then we'll grow kind of late in the year. And I think that that still holds. There's probably a little bit more movement in the occupancy trends over maybe the second and third quarter than what we expected in February. But I still think that that year-end outlook of what we talked about last quarter between 86% and 87%, I think it's still a good guide for year-end.
Vikram Malhotra: Okay. And just to clarify, what level of new leaving have you baked in to kind of hit your occupancy guide?
Brendan Maiorana: There's some spec leasing that is required to get to that year-end occupancy guide, but I would say what's in 2025 is fairly limited. I think as you're thinking about the occupancy ramp and the level of new leasing activity that gets done over the balance of 25, most of that, if we're able to be successful and lease up, is going to drive occupancy higher in 2026. And so what we've kind of talked about as a good marker for driving occupancy higher over time is usually somewhere in the neighborhood of 300,000 square feet of new per quarter on average puts us well positioned, we think, to drive occupancy higher. And I think if we're able to do that during 2025, it should position us well to grow occupancy as we migrate throughout 2026.
Vikram Malhotra: Okay, great. And this last one, I guess, Ted, big picture, I mean, with all the tariffs and economic concerns now, any update you can share from your conversations with kind of the local economic council that are sort of the gatekeepers for migration or expansion into your markets?
Ted Klinck: Sure, Vikram, it's very positive. I think the last couple of years, while they've been very busy, it's largely been more manufacturing and industrial related inquiries from in migration from out of state, but we're starting to see more office inquiries, which I think is fantastic. None of the ones, well, there's a few big ones out there that are poking around that project names are multi market, multi market searches that just take a long time. But there's a lot of singles and doubles out there that might be a floor or two floors. So I'm encouraged just in general by the activity and what we're hearing from the economic development folks.
Operator: Next question comes from Blaine Heck with the company Wells Fargo. Blaine, your line is now open.
Blaine Heck: Great, thanks. Good morning. I guess just digging in a little bit more on your tenant conversations, have you seen any tenants shift kind of relocation plans or expansion plans with an increased preference to sign short term renewals in place to kind of wait out some of the uncertainty in the market? Or are you not even seeing that yet?
Brian Leary: Hey, Blaine, it's Brian, I can take the first shot at that. Generally, no, we still always have a few folks who might be consolidating their company, moving in and looking to short term, three years to kind of figure that out. But that's not a specific response to necessarily, at least what they're telling us, the economy. But our wallet that came through on this latest amount of leasing and the commitment in Nashville Symphony Place is a long term one. So we're getting some pretty good conviction from our customers and prospects around term with the fundamental belief that they want their people together under one roof and creating value.
Ted Klinck: And then look, the only thing I would add is, our expansions are outnumbering our contractions, four to one this quarter, and we had 20 expansions, only five contractions. And that 20, just the count, the second highest count we've had in over five years since 2019. So our customers are expanding, they're growing, and they are willing to take make space commitments.
Brian Leary: One other little nuance I'll add, Blaine, is that the pipeline for new construction, new deliveries is basically stopped, but for maybe two markets, Dallas and maybe Charlotte and a small building elsewhere. And so I think what we're seeing from many customers is realizing their options will be dwindling, particularly on best in class, community worthy space. And so they feel like the idea of making the decisions sooner, locking something in, maybe locking even build out pricing and lease pricing before, if and when things change. That's basically what we're seeing.
Blaine Heck: Okay, great. Thanks for that color, Brian and Ted. And just to follow up on one of Rob's questions, Brendan, you talked about elevated leasing capital over the next several quarters. How do you see that impacting AFFO or cash flow and kind of related to that? Can you just touch on your comfort with the dividend level here?
Brendan Maiorana: Yes, maybe I'll start and let Ted follow up. So yes, as you mentioned, I think, firstly, what I would say is, as we talked about in the prepared remarks, we're really focused on driving risk adjusted free cash flow higher over time. So I think that's been the focus of the company for a long time. And we continue to think about growing the business by growing risk adjusted free cash flow. But with that, we recognize that we're in a cyclical and CapEx intensive business, and capital spend is going to be lumpy from quarter to quarter and year to year. So we really program that into just thinking about the business over the cycle. And that goes into both balance sheet strategy, but then also planning capital projects, or hybridizing projects as we think about reinvesting within the portfolio. But with all of that, we understand that capital is going to be lumpy, and it's going to cause cash flow to be lumpy. And so we just program that in. And so we think that cash flow will be lower over the next couple of years than it has been over the past few years. But that's just a normal part of the business. And that's going to happen as you're driving occupancy higher, because obviously, you're spending that leasing capital upfront before you get the corresponding revenue as leases commence.
Ted Klinck: The only thing I would add, Blaine, is, Brendan mentioned it in his prepared remarks, that since the onset of pandemic, we've generated over $150 million of free cash flow above our dividend. So it is going to be lumpy with a big move out to release the space, but we feel comfortable with where we are.
Brendan Maiorana: Yes, and Blaine, sorry, I forgot to mention, just the $150 million in cash flow, that's a true free cash flow metric. So I think you mentioned AFFO. When we really think about generating cash flow for the business, we think about what you would consider growth capital in that number, because that's a normal part of the business, and we typically reinvest within our portfolio. So that's included in that number. So even with that capital factored in, we still generated over $150 million of retained cash flow above the dividend over the past few years.
Blaine Heck: Okay, very helpful. Thanks, guys.
Operator: Our next question comes from Peter Abramowitz with the company Jefferies. Peter, your line is now open.
Peter Abramowitz: Yes, thank you for taking the question. I just wonder if you could comment on the rents on the new lease at Symphony Place and mark the market, how it compares to where Bassberry's rents were?
Ted Klinck: Yes, it's essentially flat, Peter.
Peter Abramowitz: Okay, got it. That's helpful. And then elsewhere on the core 4, so you've made the progress here at Symphony and some progress down at Two Alliance Center. Just wondering if you could comment on sort of the dollar assets, where sort of tenant requirements you're seeing on the space, how much leasing coverage you have would be helpful?
Ted Klinck: Sure. Yes, you alluded to obviously backfill down to Alliance Center, a vast majority of the Novella space. We touched on Pinnacle, Symphony Place, about backfill, Bassberry, 68% of that. The other ones are Westwood South, it's a building in Nashville. So that's a we had a earlier this year, we had 128,000 square foot customer vacate. And we've got a lot of prospects for that space. We got a full building user, we've got a user there take 70% to 80% of the building. And then we've also got some smaller guys, we're sort of just putting, sort of waiting to see how these other two play out. So we're very confident and excited about the activity we have at Westwood South. And then down at Cool Springs 5, the former activity building, we've leased 40% of that. And we've got prospects for, I tell you, probably more than the remaining vacancy there. Again, it's nothing signed yet, but the tour activity, just the Highwood-tizing, the response we're getting to the Highwood- tizing efforts down there has really spurred demand. So we're incredibly excited and optimistic about the activity we're seeing across the board in the Core 4.
Peter Abramowitz: That's helpful, Ted. And one more if I can. So you touched on sort of, it would be naive to think you won't see an impact to your conversations eventually from sort of the uncertainty that's been introduced to the macro outlook, but you're not necessarily seeing it yet. So that's helpful on, I guess, the leasing side. Curious kind of what you're seeing just more broadly across your markets on the capital market and transaction side, and sort of has, doesn't seem like deal velocity has changed much since Liberation Day, and kind of just general thoughts on the transaction market in the Sunbelt.
Ted Klinck: Sure. Look, the office capital markets, I think we're starting to see them open up a little bit. Certainly when the calendar turned this year, we have seen it. The debt capital markets are starting to open up and that helps deal flow, right? CMBS is open to office now. Certainly the SASB market within CMBS is very, very active. But you're also starting to see some life companies and some banks come back and start looking at office loans, which is great. Then on the equity capital side, look, there's been a ton of dry powder the last several years looking to invest. I think office, they're being more constructive on now. I'm starting to underwrite office now. So I think that's all good for the office capital markets. I think you've seen a few deals close. I think you're going to see a few more. So I think the office capital markets are thawing and I'm optimistic you're going to see a higher transaction volume this year than we have the last few years.
Peter Abramowitz: All right, that's helpful. Thanks for the time.
Operator: Question comes from Nick Thillman with the company Baird. Nick, your line is now open.
Nick Thillman: Hey, good morning, guys. So congrats on the partial backfill at Symphony Place. I guess that's the second large law firm you guys kind of landed within the portfolio in recent months. So what's the behavior you're kind of seeing there? Are they downsizing from their initial footprints? And I guess what's really appealing about your sort of assets in these markets is a lack of availability or dislocation. A little bit more commentary there would be helpful.
Brian Leary: Hey, Nick, it's Brian. I'll take the first shot on your very specific question about kind of space needs and appetite. And I don't want to speak for our new customer, but they spoke to the local paper overnight. And what they said is that while they are taking less square feet, they are growing as a firm because this is a much more efficient location for them. And how they're now working. So they are growing with attorneys and teammates, but actually taking less square feet technically from where they were to where they're coming with us from Symphony Place. So that's, there's also kind of M&A activity across a number of these law firms, folks moving around, folks getting bigger. In fact, the customer that we recruited to Symphony Place is sort of a mainstay, long known pillar of the community in Nashville, but is now part of an international top 20 law firm on the planet. So that's kind of a good thing.
Brendan Maiorana: Yes, Nick, the only thing I would just add to that is we've seen, as Ted and Brian mentioned earlier, we've seen good expansion activity across the portfolio. So the largest lease that we did in the quarter was a large financial services user who expanded during the quarter. And then we had another Fortune 500 company who was new, came in new to market growth. So while there's been two prominent deals that are law firm deals within our portfolio in the core four, if you will, I think we've seen a pretty broad based growth across our customer base.
Nick Thillman: No, that's very helpful. And then I just wanted to touch a little bit on 2026. You said 2025 retention a little bit lower, but '26 you felt like that the renewal activity was going to be there and pretty high retention. So is that still the case? And is our kind of spec leasing overall kind of tracking with your initial outlook for '25 as well?
Brendan Maiorana: Yes, I would say so with respect to '25, I think we're kind of right on track with what we thought probably early part of the year, I'd say maybe even a little bit ahead. And then I think what that means in terms of the renewal activity for the conversations that we're having [Audio Gap] on 2026 I think that those all feel constructive as well. And I think we'll be back to more normalized levels of retention in 2026 relative to kind of where we've been late in '24 and then in '25. So I think that positions us given the limited role that we have and then more normalized levels of retention, and then the new leasing volume, I think that creates a good environment where we ought to be able to grow occupancy as we migrate throughout '26.
Nick Thillman: Very helpful. Thank you.
Operator: Our next question comes from Dylan Brzezinski with the company Green Street. Dylan, your line is now open.
Dylan Brzezinski: Hey guys, thanks for taking the question. I guess just sort of going back to Peter's line of question around capital markets changes. Ted, I think you mentioned having smaller assets in the market today. Have you seen any change as it relates to the pricing expectations or buyer appetite since sort of April 2nd Liberation Day?
Ted Klinck: Not at all, Dylan. Again, we don't have a lot of data points. We don't have anything of size out in the market. We've got a couple of small buildings, but there's plenty of investor interest in the couple of buildings we have out there, but it wouldn't surprise me. Just to your point, again, we'll have to wait and see the next 30, 60 days or whatever, but to date, we haven't really seen an appetite. We're having people continue to call us, whether it be users or local buyers that are interested in assets. Some of our assets we don't even have on the market, which is so similar to what happened last year with [BayCare] and we sold those buildings. That was an inbound call. So we're continuing to field calls from users as well as potential buyers that are looking to transact. So I think there's a lot of money on the sidelines that's looking to invest in office buildings these days.
Dylan Brzezinski: Great. I appreciate those comments, Ted. And I guess just going back to the demand side not changing as well, but are you starting to see any cracks on free rent periods moving higher, TI packages being higher? I know you guys commented on just net effective in the quarter being higher than they were five quarters ago, but any change in the last several weeks as it relates to just leasing economics?
Ted Klinck: Not really. In fact, I would say the concessions in many of our submarkets are starting to level off. I think we've probably hit peak TIs and peak free rent. So depending on the submarket and in some cases the specific deal and location, you're starting to see concessions subside a little bit even. So which is, again, that's encouraging for the overall office market, especially given there's no new deliveries the next couple of years or very few. We think that things are going to tighten up. Vacancy rates have probably peaked in our markets and concessions we think they have as well. So we're encouraged about the overall fundamental picture improving over the next couple of years as well.
Dylan Brzezinski: Perfect. Thanks.
Operator: Our next question comes from Omotayo Okusanya with the company Deutsche Bank. Omotayo your line is now open.
Omotayo Okusanya: Yes. Good morning, everyone. Again, congrats on a solid quarter and great momentum there. I wanted to understand guidance a little bit better. You talked about a one cent increase from operations, but there really are no big changes to your guidance assumptions. So trying to understand maybe something's happening on the non-same store pool. And then the $0.03 associated with acquisitions, again, I think your initial guidance had up to 300 million of acquisitions. You've done 138 so far calling for a potential additional 150. So acquisition guidance doesn't seem like it's changed much as well, but you're expecting the $0.03 pick up on that end as well. So if you could just help us kind of understand the $0.04 increase, that would be helpful.
Brendan Maiorana: Yes. Omotayo, it's Brendan. I'll take that, thanks for the question. So just firstly on the acquisition, so we provide the guidance in terms of color on acquisition activity, but we don't include that in the FFO number. And so what happened with the February outlook is we had sold the assets in Tampa that $145 million. So that was, that dilution, if you will, was kind of in that number. But we hadn't closed on Advanced Auto Parts Tower. We closed on that a month or so after we had provided that initial outlook. So the closing of that, then that obviously goes into the number and that's $0.03 there. You just take roughly nine months of ownership in that asset relative to the cost of capital to pay for that. And then the penny of better operations. I mean, could you move the numbers around a little bit in terms of the metrics? Sure. But, we've got a 200 basis point range on same store, that's $10 million, $12 million of kind of play in there. I didn't think it was kind of updating those numbers. Same with occupancy. What we did move up, and really this kind of goes maybe to your question a little bit, is you saw the straight line number move up a couple million bucks. So really you kind of have some of that is just in play there as well. So does it impact cash, same property in Hawaii, which is where we are. But we did take the same property number up a little bit and there's a variety of reasons for that, but a bunch of stuff moves around. But I think the general parameters of same store guide, occupancy guide, not much really has changed there.
Omotayo Okusanya: Got you. That's helpful. Thank you.
Operator: Next question comes from Ronald Camden with the company Morgan Stanley. Ronald, your line is now open.
Ronald Camden: Hey, just two quick ones from me. I think one on the, just the potential additional dispositions and acquisitions not included in guidance. I know you talked about some dispositions being prepped, but any updated thoughts on the Pittsburgh assets and what you're thinking is there would be helpful. And similarly on the acquisition side, is it all speculative at this point or are there sort of deals that you guys are sort of looking, evaluating, closing in on? Thanks.
Ted Klinck: Sure. Hey, Ron. First on Pittsburgh, really no update on Pittsburgh. We continue to monitor the situation just like we have the last couple of years. And I think when the capital markets open up more for large assets like the ones we own, we'll be, we'll go and find the right time to sell those assets. So really no, no, no update there. And then on the acquisition front, we're underwriting stuff where our pencils are, we're underwriting various opportunities, but really nothing to talk about. And, we'll just see how things play out, but it's just nice to have acquisition opportunities that are out there right now, but really nothing to talk about.
Ronald Camden: Great. And then my second one was just on the cadence for the same store. The midpoint is 3%, which is where you sort of were in 1Q. Should we be expecting sort of a dip in 2Q and then a recovery in the back half of the year? Just how should we think about how that's going to trend? Thanks.
Brendan Maiorana: Yes, Ron, it's Brendan. Good question. Yes, I think it's likely to be, if you go back and look at last year, right, we were higher in Q2 and then higher again in Q3. So obviously, anniversaring against those prior quarters is a challenging top. So I would expect it to be week in Q2 and week in Q3. And then as we had occupancy down in Q4 last year, I think we'll do better on a relative basis in Q4 of this year. So I think that's, in terms of expectations on same property guidance, I think that's a good way to think about it.
Ronald Camden: Great. Thanks so much.
Operator: Our next question comes from [indiscernible] your line is now open.
Unidentified Analyst: Hi, thanks for taking my question. I just kind of want to go back to some of the discussion around acquisitions. How is kind of the uncertainty out there? Has that changed kind of the yields or IRRs you guys are underwriting to? And then, are there any markets you're kind of looking, you would look to kind of grow in or any color that would be helpful as well?
Brendan Maiorana: Sure. Hey, [indiscernible]. Look, I don't think necessarily uncertainty is impacting us a whole lot. We look at the fundamentals when we underwrite deals, whether it's a core, core plus, value add opportunity. We look at the submarket and, what kind of rent growth can we get? What kind of lease up can we have if there's vacant space? So there's a lot of levers that go into coming up with our overall underwriting assumptions. So, but I don't think we've changed a whole lot in the last 30 days or so. It just, but it's very micro as we look at the asset in the submarket. What was the second part? Oh, markets, I'm sorry, Seth, on markets, the second part. Yes, second part of the markets. Look, we've entered Charlotte five years ago, Dallas three years ago, so I think we like our footprint. Right now, we poke around other markets, but we're sort of pretty pleased with the markets we're in right now.
Unidentified Analyst: Great. Thanks.
Operator: There are no more questions registered in queue. [Operator Instructions].
Brendan Maiorana: All right. Doesn't look like we have any additional questions. So thank you all for joining the call today. Thanks for your interest in Highwoods. We look forward to seeing everybody in [indiscernible] in early June. Thank you.
Operator: That will conclude today's conference call. Thank you for your participation and enjoy the rest of your day.